Operator: Good day, and welcome to the Fourth Quarter Fiscal Year 2025 Earnings Conference Call. Participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. To withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Mike Cavanaugh. Investor Relations. Please go ahead.
Mike Cavanaugh: Good afternoon, and thank you for joining the Electromed earnings call. Earlier today, Electromed, Inc. released financial results for the fourth quarter and fiscal 2025. The press release is currently available on the company's website at smartvest.com. Before we get started, I would like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place any undue reliance on those forward-looking statements. And the company does not undertake any obligation to update or revise forward-looking statements whether as a result of new information, future events, or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Joining me on the call today are Jim Cunniff, Electromed's president and chief executive officer, and Brad Nagel, chief financial officer. As on previous calls, Jim will provide operational highlights from the quarter, Brad will then review the financials, and we will close with a question and answer session. With that, I will now turn the call over to Jim Cunniff, President and Chief Executive Officer of Electromed.
Jim Cunniff: Thank you, Mike, and thank you to everyone who's joining our call today to review our results for the fourth quarter and fiscal year 2025. As I complete my second year as Electromed's president and chief executive, I'm thrilled to share that the company had another exceptional quarter and year. As I look at our results, I'm reminded of a quote that captures our progress: Success is not a destination. It's a continuous journey of excellence. That's exactly what we delivered. Our eleventh consecutive quarter of year-over-year revenue and profit growth, proving that our focused strategy and unwavering commitment to helping patients breathe easier continues to drive remarkable results. As usual, Brad will provide a thorough review of our financials, but I'd like to start with some of the numbers that tell our story. We achieved record quarterly revenue of $17.4 million, representing a robust 17% year-over-year growth, which brought our net revenues for the year to $64 million, also a record. This performance was driven by growth across all key markets in the quarter. Our core home care segment grew 15%, hospital surged 60%, and our distributor channel delivered 76% growth, fueled by strong demand from our carefully selected DME partners. While home care remains the core of our business, we believe the hospital and segments can add meaningful incremental revenues and contribute to overall profitability. Our profitability metrics are equally impressive. Operating income reached $3 million in Q4, marking a 30% increase year-over-year with improved operating leverage of 174 basis points over Q4 last year.
Brad Nagel: Net income of $2.2 million was 21% higher than the same quarter last year, translating to a diluted earnings per share of $0.25, a 24% increase versus the prior year. Once again, during the fiscal year, our strong cash position enabled us to return excess capital to our shareholders. I'm pleased to report that in Q4 we successfully completed our second $5 million stock repurchase program of fiscal year 2025, demonstrating our confidence in the company's future and our commitment to enhancing shareholder value. We also achieved a significant milestone with the addition of our common stock into the Russell 2000 indexes, which we believe should provide our stock with improved trading liquidity through broader institutional exposure. Closer to home, we were honored to be recognized by the Minneapolis Saint Paul Business Journal as the seventh fastest growing public company in Minnesota. A notable achievement in a state known for its impressive roster of public companies, including many that are well-known medical technology leaders. Our growth initiatives are delivering exceptional results. A key component is the careful expansion of our direct sales team, and we ended the year with 55 representatives, up from 53 in the prior year, ensuring we can capitalize on the growing market opportunities ahead of us. Besides adding headcount, we also realized incremental revenue growth through productivity gains from our reps. During the year, productivity exceeded $1 million per rep, which was at the high end of our target range at the beginning of the year. Just three years ago, productivity was in the $850,000 range, which shows a meaningful improvement. Also, to support our rapid growth during the year, we bolstered our team with new leadership roles in marketing, payer access, and information technology. As we have mentioned many times in the past, one of the opportunities for Electromed is penetrating the large unrecognized market for bronchiectasis treatment. It is estimated that today in The United States, there are approximately 923,000 patients diagnosed with bronchiectasis, and of those, only 148,000 are using therapy, which suggests a patient of nearly 800,000 patients with bronchiectasis who could benefit from our SmartVest. Even more eye-opening, it is estimated that over four million more people have bronchiectasis but are undiagnosed. To address this knowledge gap, our triple down on bronchiectasis campaign is designed to bring awareness of both the disease and the important role HSC therapy can play in improving the quality of life for patients with bronchiectasis. The campaign has already generated over 31,000 views to our dedicated landing page, and succeeding in not only raising awareness about bronchiectasis, but also highlighting how our SmartVest therapy plays a crucial role in successful long-term disease management. This is done through a three-pronged treatment approach of airway clearance, infection treatment, and inflammation reduction. We're also targeting industry events for medical professionals who diagnose and treat bronchiectasis through the generation of clinical evidence supporting the use of SmartVest as a key component of effective treatment. An example is our recent presentation at the World Bronchiectasis Conference in Australia, which showcased compelling data from the Bronchiac Assist Research Registry demonstrating the clinical value of HFCWO therapy and suggesting opportunities for earlier intervention in the disease process. Specifically, the study analyzed a cohort of 5,173 bronchiectasis patients, and while only 9% of patients had been prescribed HFCWO at baseline, 58% of non-HFCWO users at baseline met CMS guideline criteria for HFCWO therapy. This analysis suggests the need for education on HFCWO prescribing indications and guidelines earlier in the disease process. We're actively working on the manuscript now with anticipated completion in Q1 fiscal year 2026. We also continue to raise the bar on our operational performance. As a US-based company with 99% of our revenues generated domestically and all manufacturing operations located in The United States, we feel we are well insulated from tariff-related turbulence and are therefore well positioned to maintain our strong track record of on-time delivery and preserve our healthy mid-seventies gross margins. However, tariffs are a fluid situation, which we're continuing to monitor with our primarily domestic suppliers who may have exposure within their upstream supply chains. In Q4, we maintained zero back orders with a first pass yield of 99% while inventory levels remain lean. We initiated our manufacturing optimization plan to add new capacity with completion expected in early fiscal year 2026 and just implemented a new CRM system in July, which we expect will enhance sales productivity while providing incremental market insights. Another important effort is supporting our prescribing clinics by moving them from the dark ages of inefficient order submission to our fulfillment team via fax and into the new age of submitting orders via our smart order e-solution. This significant efficiency enhancement for our clinic seamlessly provides Electromed with complete prescription documentation, enabling us to ship SmartVest to our patients sooner so they can breathe easier. In Q4, 38% of the orders we received were via our Smart Order e-prescribe solution. As we look ahead, I'm optimistic about our prospects to deliver meaningful results. As the only pure play HFCWO therapy provider, with a convenient direct-to-patient model, we're taking market share and expanding our reach through sales team growth, improved productivity, investments in clinical education, and innovation. Our focus remains on helping patients with bronchiectasis breathe easier while delivering exceptional value to our shareholders. That concludes my prepared remarks, and I'd now like to turn the call over to Brad Nagel for a review of our financials. Brad, over to you.
Brad Nagel: Thanks, Jim. All amounts I'm about to review are for the twelve months ended 06/30/2025, fiscal year 2025, and compared to the twelve months ended 06/30/2024, fiscal year 2024, unless otherwise noted. Net revenues for Q4 grew 17.3% to $17.4 million, bringing net revenues for our full fiscal year 2025 to a record $64 million or 17% growth from $54.7 million last year. Revenue in our direct home care market increased year-over-year by 15.7% to $57.3 million from $49.5 million in the prior year. The increase in revenue was due to an increase in direct sales representatives and higher net revenues per approval. The annualized home care revenue per weighted average direct sales representative fiscal year 2025 was $1,058,000, exceeding Electromed's target range of $900,000 to $1 million per rep. With our strong performance in fiscal year 2025, and continued efficiency expected in fiscal year 2026, we are increasing our expectations for fiscal year 2026 home care revenue per rep to a range of $1 million to $1.1 million. Jim mentioned that we closed out fiscal year 2025 with 55 home care field sales reps. In fiscal year 2026, we expect the number of sales reps to continue to rise as we hire to expand into as many as 61 home care sales territories across The US. Revenue in our non-home care business grew 28.8% to $6.7 million in fiscal year 2025. The increase was primarily due to increased distributor and hospital revenue, which grew 58.1% and 23.9%, respectively. Gross profit increased to $50 million or 78.1% of net revenues, from $41.7 million or 76.3% of net revenues in fiscal year 2024. The increase in gross profit and gross margin was primarily due to increased revenue and higher net revenue per device. Selling, general, and administrative or SG&A expenses were $39.3 million, representing an increase of $4.8 million or 14% from $34.5 million. The increase in the current year was primarily due to the accelerated recognition of share-based compensation associated with the vesting of performance-based equity awards and salaries and incentive compensation related to the higher average number of sales, sales support, marketing, and reimbursement personnel to process higher patient referrals. Operating income this year was $9.7 million or 15.1% of net revenues compared to $6.6 million or 12% of net revenues last year. The growth of 46.8% in operating income was primarily due to an increase in net revenues and gross profit. When putting these full-year results together, we're excited to have delivered a record year with pretax income of $10.3 million, net income of $7.5 million, and full-year EPS for our shareholders of $0.85 per diluted share. As of 06/30/2025, Electromed had $15.3 million in cash, $24.7 million in accounts receivable, and no debt, achieving a working capital of $34.6 million and total shareholders' equity of $43.2 million. The cash balance reflects a decrease of $800,000 for the year ended 06/30/2025 compared to an increase in cash of $8.7 million in the same period in the prior year. The decrease in cash in fiscal year 2025 was driven by share repurchases of $10 million and $2.3 million of taxes paid from net share settlement of vested stock, offset by $11.4 million of cash generated from operating activities, which represents an increase of $2.3 million over the prior year. I'll close by saying Jim and I are excited by the passion the Electromed team has bringing our innovative SmartVest technology to an underserved patient population. And it's fun to see how this passion for the patients and physicians we serve has translated into strong financial performance throughout fiscal year 2025 for Electromed and our shareholders. As we look forward into fiscal year 2026 and beyond, we continue to see the opportunity to leverage the investments we've made to drive both our mission and our financial commitments forward. Delivering double-digit top-line growth, expanded operating leverage, and strong operating cash flows in the new year. With that, we'd like to move to the Q&A portion of the call. Operator? Please open the call to questions.
Operator: Thank you. To ask a question, you may press star then 1 on your telephone keypad. If you are using a speakerphone, if at any time your question has been addressed and you would like to withdraw your question, first question comes from Kyle Bauser with ROTH Capital Partners. Please go ahead.
Kyle Bauser: Hello. Great. Jim and Brad. Thanks for taking the questions, and, really nice results wrapping up the fiscal year here. Maybe just on the really strong margins in the quarter, I think, Brad, you mentioned some of the gross margin strength was attributed to just higher net revenue per device. Can you provide a little bit more color there? Is that just a change in the mix from different payers or different, you know, points of care? Just kinda curious a little bit more on COGS.
Brad Nagel: Hey, Kyle. Thanks for the question. And you are right on. We had a really strong growth in our home care revenue, which is a really strong margin channel for us. And the mix within that channel was really favorable. So we had different sort of payer targets across, commercial versus Medicare. And, it worked in our favor, this quarter and really for the full year, putting up over, 78%, gross margins for the year.
Kyle Bauser: Okay. Got it. And maybe just related, obviously, really strong hospital and DME revenue. I know it's a small portion of overall sales, but Jim, you'd mentioned that's kind of a growth area. Can you call out anything there? Was there anything particular that, you know, caused the hospital channel in particular to be so strong?
Jim Cunniff: You know, it's a great question and good to hear from you, Kyle. Basically, when we take a look at other revenue sources for us, you know, our primary focus continues to be in the home care market. You know, that's where our strength is. That's where we're continuing to invest. But I think we've talked about this in the past. You know, one of the other areas that we think is a gateway to the home is in the hospital. So in the past fiscal year, one of the investments that we've made is to bolster our hospital-focused sales reps. So today, we've got three people that are really focused on that market. We feel like it's kind of untapped, predominantly because one of our competitors is distracted, who's had a strong presence in that market. But fundamentally, the market dynamics in purchasing are different there. Whereas in the home, you basically get a prescription from a provider, you know, we're able to convert that to revenue pretty quickly. In the hospital market, the sales cycle's a lot longer because it's a capital equipment sale. But we do believe that it's just a terrific opportunity, and if a patient uses our technology in a hospital, and has bronchiectasis and needs to continue that therapy at the home, feel like the hospital is a gateway for them to get used to our technology, get comfortable with it. And then when they get discharged, you know, hopefully, we get the prescription for them to then use it at home if they don't already have a device.
Kyle Bauser: Right. Got it. That makes sense. Appreciate that. And then just a couple quick ones. Obviously, a couple new entrants in the market most recently around the bronchiectasis drug and previously a new device entrant. Are you seeing increased awareness around bronchiectasis just kinda trying to understand the puts and takes here and, you know, if those could actually be a tailwind, you know, looking forward. I know it's a little bit early.
Jim Cunniff: Yeah. We think so as well on the tailwind. And everybody that's on the call, basically what Kyle's referring to is Insmed just introduced the first drug that has specifically been approved by the FDA for bronchiectasis. But the drug does not clear the airways. And so one of the things that they have done, has been fantastic, is they've brought awareness to this underserved, underdiagnosed disease state, and we appreciate that. But we feel like the drug is part of the care modality. You have to first, you know, if you've got bronchiectasis, typically you've got mucus that's built up in your airways, you need to clear the airways first. Part of the protocol also is those patients typically have an infection. And so they're being treated with antibiotics. That's been kind of the norm. And then, with the new drug that hit the market, that's really targeted on inflammation. And again, this is a chronic irreversible condition, so really what we're seeing and what we're expecting with that drug that just came out is that it's really gonna help those patients not get further exacerbations or flares that they have today. So that's on that point. There are some other devices that have been approved by the FDA, but in one instance, specifically, the product is I think they're slow rolling the introduction of that product here in The United States. And that's mainly due to the fact that they don't have reimbursement. They've got the device FDA approved, but they don't have reimbursement, which is a key hurdle. You know, it's difficult for a patient to get prescribed our technology or any other airway clearance type technology in this market if there isn't reimbursement. And that's mainly because the device's value is so high. And the patient would then have a very high out-of-pocket expense.
Kyle Bauser: Got it. Really appreciate that. Color there. And then just lastly, the manufacturing optimization plan that's expected to be completed in this next fiscal year. Can you just remind me how this expands upon current capacity and maybe even how margins might be impacted by this? Thank you.
Jim Cunniff: Yeah. No, it's a great question. Thanks, Kyle. We're really excited about it. We actually believe that the team in operations has done a fantastic job on our facility expansion and really reimagining our assembly process here in New Prague. And, we don't believe it's gonna really be a margin play because, you know, one of the offsetting factors is wage increases and, you know, any potential impact from tariffs. Although, as I mentioned in my comments, we feel like we're pretty well insulated from any tariff impact on the components that we buy. But really, the play there is to expand our opportunity to grow. And through the changes that we've made, we're really reducing a lot of the movement we've had in our manufacturing operations. And we feel like that's gonna enable us to grow within our existing footprint really for the next three years comfortably.
Kyle Bauser: Sounds great. Well, great finish to the year. I'll jump back in queue. Thanks for taking my question.
Jim Cunniff: Hey. Thanks.
Operator: The next question comes from Anderson Schock with B. Riley. Please go ahead.
Anderson Schock: Congrats on a really strong quarter and year. So first, on the hospital revenue growth, is this just early results from the expansion of your hospital-focused team and we expect to see continued sequential growth in the coming quarters here?
Jim Cunniff: Yeah. We, you know, we do have a focus there. I do anticipate that, you know, much like our overall revenue growth because this can be somewhat lumpy, Anderson, on the hospital side because it is a capital equipment sale. Yeah. We do expect that we're gonna have broader than double-digit growth in our hospital market, albeit on a much lower base than our home care space. And we feel like there's plenty of runway for that. Hospitals are replacing existing equipment that they have right now. And we do believe that one of the key players that had a really strong presence in that market is internally distracted and has an older product. And I think that that's really opening us up to opportunities that heretofore we might not have had.
Anderson Schock: Okay. Got it. And then do you plan any further expansion in this team in fiscal 2026?
Jim Cunniff: You know, we want to be conscious of adding reps in the space too quickly. We want to make sure that we've got an algorithm for success to perpetuate what we've already done in really the last two years in the hospital market. And provided that's the case, we have the demand absolutely. Yeah, we think that we think that that is, you know, as I mentioned on the previous questions from Kyle, you know, we feel like that's really a nice, not only revenue opportunity for us, and exposure to our technology, to a broader range of patients. But also, we feel like that's a gateway to get the patients that are entering the hospital when they get discharged to then use our product in the home. Good question.
Anderson Schock: Okay. Got it. And then on your new CRM system you implemented in July, I guess how have you structured the implementation to avoid a learning curve that could negatively impact the Salesforce productivity?
Jim Cunniff: We are really excited about the CRM system that we just introduced. It was introduced on time, it was introduced on budget. And, I think part of the secret sauce there was the fact that it wasn't done within a vacuum with just a few people on the team. It was really a cross-functional effort, with both our sales team as well as our reimbursement team because this is the first time, Anderson, that we're really gonna be able to tie together the systems that our reimbursement team uses with our sales team so that they can both see the same data at the same time. And we just had our sales meeting, just as an example, in August. And the feedback when I started, the feedback with our previous CRM system was so negative. And, as we were doing additional training at our sales meeting with the team at this most recent annual sales meeting, with the same folks, it was joy to see what kind of information they now have access to. It's a very we're on salesforce.com. It's a very intuitive system. You know, day by day, as people become more and more comfortable with the system, it's gonna become more and more a stronger asset. To how we can leverage what they do on a daily basis. So, no, thus far, it's been fantastic.
Anderson Schock: Okay. Got it. Thank you for taking our questions, and congrats again on the great finish to the year.
Jim Cunniff: Appreciate it. Thank you.
Operator: The next question comes from Ben Haynor with Lake Street Capital Markets. Please go ahead.
Ben Haynor: First, kind of following up on the question earlier about the Insmed drug. Obviously, raising awareness when you have a large undiagnosed population or and certainly an undertreated patient population, is great. But just wondering if you if there are any kind of historical examples you might be able to point to where that really led to the acceleration of a market, you know, and all of a sudden folks that hadn't known about the condition or hadn't been diagnosed really really took off. You know, obviously exempting Viagra or something like that.
Jim Cunniff: Yeah. You know, I don't really have a proxy I can give you, you know, for that. But, you know, what we have seen is that can you hear me okay? I think we're getting some static on the line. Yeah. You know, I think what we're seeing though is and you know, to their credit, when you show up at a trade show if you look at some of the different foundations that are involved in this space and some of the providers that are in the space, you know, when I started, and, again, albeit this was just a couple of years ago, you'd go to one of these conferences, the big you know, the big the big topics people were talking about were COPD, asthma, and, obviously, COVID. But, you know, that has since pivoted. And so, you know, part of it is the work that we've done on market development. Part of it is what Insmed has done. Because they couldn't sell anything. They're just basically seeding the market. I think a consequence of that is, you know, this is now in the forefront of what people are thinking about. Know, when they see a patient, whereas, in the past, a patient enters a pulmonologist's office and they, you know, everybody they look at they believe might have COPD or asthma, and they're now looking at other disease states. And I think I think that's gonna be a great catalyst really for this market.
Ben Haynor: Okay. That's very helpful color. I appreciate that. And then secondly for me on kind of the e-prescribe availability, what have you seen anecdotally if anything, you know, does that change folks' habits when prescribing? I mean, did they get they you see it a boost, like, automatically? Is it a certain cohort of folks that change their habits? You know, what kind of changes having that available?
Jim Cunniff: Well, you know, it's gonna be a big focus. It was a focus for our team this past fiscal year. It's gonna continue to be a focus this year. And, you know, it's like any type of change that anybody goes through, there's resistance initially until you show them how much easier it is for them to process the prescriptions that they have to pull all the documentation together for and send to us. And how that also translates into a benefit in getting the technology to the patient sooner because we have most of the documentation in a really clean format that we can then peruse to make sure that it's gonna meet reimbursement coverage. So, you know, kind of the first point of entry is you gotta get people to try it. And so once they try it, they see how it's gonna benefit them personally in, you know, the clinic and how they're doing their work, I think they then start to adapt it. You know, the key thing for us too is we don't want it to be a one and done. We want to make sure that we're cultivating that behavior so that this is something that we sustain. But, boy, it's just been a great benefit, I think, to the clinics that have really adopted it. And for us, internally, it's been a really good boon as well because, you know, now today, can get our average days to ship go down almost in half and the same thing for the time to approve a prescription.
Ben Haynor: Great. And then lastly for me, just looking for an update, I apologize if I missed this in the prepared remarks. What's kind of been the response that you've seen from some of the VA specific marketing efforts that you've done here over recent periods?
Jim Cunniff: Yeah, buried within our hospital numbers, and I don't have those in front of me relative. Well, I think we've when you take a look at our hospital revenue, I believe last year, over a million dollars of our hospital revenue was generated out of VAs that we called on. And what's nice about the VA is when we get a well, what we call quote unquote a prescription from them, it acts like a like capital equipment. So this has been a big benefit to us. And we're gonna continue to push on that because there's a lot of folks that are within that market segment that can utilize our technology.
Ben Haynor: Great. Thanks for the color, gentlemen, and congrats on all the progress.
Jim Cunniff: Hey. Thank you. Thank you.
Operator: That's all the time we have for questions today. I would now like to turn the conference back over to Jim Cunniff for any closing remarks. Please go ahead.
Jim Cunniff: Well, thank you for your continued confidence in Electromed and for being on the call today. I would say we're just getting started and I couldn't be more excited about what lies ahead for us in fiscal year 2026. Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.